Operator: Good afternoon. Welcome to Veritone's Third Quarter 2018 Earnings Conference Call. After the market closed today, Veritone issued a press release announcing its results for the third quarter ended September 30, 2018. The press release is available in the Investor Relations section of Veritone's website. Joining us for today's call are Veritone's Chairman and CEO, Chad Steelberg; and the company's Chief Financial Officer, Pete Collins. Following their remarks, we will open up the call for questions. Please note that certain information discussed on the call today will include forward-looking statements about future events and Veritone's business strategy and future financial and operating performance, including its expected operating performance for the fourth quarter of 2018. These forward-looking statements are subject to risks, uncertainties and assumptions that may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in Veritone's SEC filings, including its Annual Report on Form 10-K. These forward-looking statements are based on assumptions as of today, November 12, 2018, and Veritone undertakes no obligation to revise or update them. In addition to the company's GAAP financial results, during this call, management will be presenting and discussing the company's earnings before interest, expense, depreciation, amortization and stock-based compensation, adjusted to exclude certain acquisition, integration-related expenses or adjusted EBITDAS which is a non-GAAP financial measure, a reconciliation of the company’s adjusted EBITDAS to its net loss is included in the company’s pres release issued today. Finally, I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of the company's website at www.veritone.com. Now, I would like to turn the call over to Veritone's Chairman and CEO, Chad Steelberg. Sir, please proceed.
Chad Steelberg: Welcome everyone and thank you for joining us today. I’m very pleased with our strong financial and operational performance in the third quarter. Our revenue was a record $7.5 million. We launch three exciting new applications for law enforcement and media customers; and, we closed three strategic acquisitions that strengthen and extend the capabilities of our businesses. Our Q3 revenue was driven by both solid organic growth with our AI and Digital Content Solutions, up 150% year-over-year. And our media agency revenue up 31% year-over-year and by contributions from our recent acquisition of Wazee Digital and Performance Bridge which added $2.2 million in a quarter. We also leverage this revenue growth together with good operating expense management to reduce our adjusted EBITDA loss to $8.6 million in Q3 from a $11 million in the prior quarter. Our strong organic revenue growth this quarter showed the success we are seeing with our land and expand strategy of signing up new customers for our aiWARE operating system and then increasing our business with those customers as they add more users and take advantage of the exciting new applications and engines we’re adding to our development efforts and strategic acquisitions. The third quarter has strengthen my fundamental convection the ubiquitous development of artificial intelligence required an AI operating system much in the same way that mainframes, personal computers and mobile devices require operating systems such UNIX, Windows and android respectively. Veritone’s industry-leading AI operating system, aiWARE is uniquely position to lead the industry into a more powerful and ubiquitous cognitive computing future. Operating systems perform three critical functions; first they orchestrate a wide variety of third party peripherals and create common software architecture for applications to interoperate. Second, they lower the cost of software development and distribution by delivering high-level developer tools that enable engineers to leverage their communication and infrastructure capabilities of the operating system. And third they provide the administrative control and monitoring services that enable end users to manage the overall functions and accessibility of the system. While early adopters will trail blaze some vertically integrated applications without an operating system and achieve some modicum of success. In the long term the cost associated with developing and maintaining the full stack from user interface design to AI model training and development is untenable. More importantly these siloed applications failed to benefit from the inherited advantages of an operating system. First, in terms of supporting and benefiting some broader range of peripherals, in this case AI engine, and second, solving the challenge of interoperability with the inevitable explosion of more and more AI applications. By developing an AI operating system together with general and industry specific applications that run upon it, rather than a series of point solutions, we are pursuing a path to AI that is unique in the industry and one that we think provide us with material advantages. Our operating system strategy followed a model that has long been proven successful in computational computing by companies like IBM, Microsoft, Apple and Google. Let’s examine these fundamental advantages of aiWARE with real world examples from this past quarter because they are critical to understanding our value proposition and the huge market opportunities we see before us. First, let’s review the importance of peripheral and application interoperability which is a fundamental feature of all operating systems. aiWARE creates an abstraction layer between the application business logic and the underlying cognitive functions. This enables applications to invoke to a generalized interface. Over 250 cognitive engines on both structured and unstructured dataset to unlock insights and value that were previously unattainable. As new cognitive engines are deploy the cost and performance benefit are immediately inherited by all aiWARE applications. This separation of concern translates into a future proof and constantly evolving setup solutions that has unlike anything else available in the AI industry today. It further allows hydrogenous applications to communicate, share information and extend functionality by leveraging a common operating system transforming point solutions into powerful application suite. To further strengthen our AI engine ecosystem, in September we acquired Machine Box, a developer of state-of-the-art machine learning technology that gives developers a suite of simple yet robust tools and models to quickly and easily create and train customize AI engine across multiple cognitive category including face and object recognition, text analytic, data classification and personalized recommendation. The combination of Machine Box is proven tools with the flexibility and ease-of-use of Veritone’s aiWARE operating system gives developers, system integrators and end customers the ability to produce bespoke end-to-end AI inform solutions for their specific use cases. These engines are now being used in multiple aiWARE application and delivering significant value to our customers. In Q3 we also acquired Wazee Digital, a leader in digital asset management and monetization solution with an outstanding roster of blue-chip customers making them a great complement to our leading AI based media analytic solutions. By integrating Veritone’s AI capabilities to significantly enhance the capabilities of Wazee’s core and digital media hub product, we now uniquely offer constant owner a complete AI based solution suite to help them more effectively and efficiently create, analyze, distribute and monetize their content. We have already began to have success with cross-selling combined solutions to both company’s customers. And just last week we closed our first joint deal for a combined solution. We plan to extend the capabilities of this combined solution to fundamentally change the way media companies packaged and monetized their content, as the media industry moves towards a delivery of content on demand anytime anywhere. Another major advantage of an operating system is that it enables developers to build and deploy virtually any AI solution in a fraction of the time and cost it would take to build that solution from the ground up. aiWARE supplies the framework, most of the AI engine orchestration logic, database and communication protocols in a turnkey easy-to-use offering. Developers can instead focus on the business logic, user workflows and use cases leveraging aiWARE for all their cognitive needs. In Q3 we took advantage of aiWARE efficiencies by nearly doubling the number of applications running on aiWARE from seven to 12. Two applications were acquired in the Wazee acquisition as I mentioned and three more were developed in conjunction with key customers. The Phase 1 integration of Wazee’s core and DMH applications into aiWARE took less then 60 days and was executed by small internal team. Without aiWARE integrating hundreds of cognitive engines into these applications would have taken a year or more and millions of dollars. The three new applications Identify, Redact and Attribute were each conceived, built by third-parties and deploy to paying customers within 90-day for less than a $100,000 each, a fraction of the time and cost of building them as point solutions. This huge gain and efficiency is a direct result of aiWARE and its developer tools, clearly paralleling the cost savings and efficiency imbued by additional operating systems. Without such gains the PC industry would be an anemic shadow of what it is today. The first two of these new applications were created to address important use cases for public safety and judicial agencies. Our new Veritone Identify application enable agencies to systematically search images of potential suspects shown in video and photographic evidence, which is present in 80% of criminal cases against known offenders and other databases, something that is currently a time consuming labor intensive process. The Identify application significantly reduces the time and effort requires to identify potential suspect, accelerating investigation and allowing investigators to devote more time to other investigative activity. We are seeing a lot of interest in this application from law enforcement agencies and our initial POC customers have successfully identified over a dozen suspects using it. Our new Veritone Redact application enables law enforcement and traditional professionals to systematically remove selected faces and sensitive data from video evidence, significantly streamlining their video evidence redaction workflows. Currently, this is generally a time consuming manual process for agency and one that is growing with the increase in video evidence and Freedom of Information Act request for the footage by the public. Redact provide these agencies with a powerful tool to improve the efficiency of their disclosure workflows. The third of these applications, Veritone Attribute is an AI powered media attribution application attract the efficacy of advertising and broadcast radio and television. The application enables users to upload broadcast programming and our Google analytics website data into aiWARE and analyze the correlation between pre-recorded, native and organic ad mentioned during a broadcast and audiences actions taken on the advertiser’s website in near real time. This intelligent solution is in high demand, because it enables broadcasters and advertisers to measure ad campaign effectiveness in real time and optimizes ad placement to maximize ROI which is one of the industries highest and most challenging priorities. The third benefit of an operating system is that it provides a way for users and organizations to manage and monitor the overall function and accessibility of the applications it serves. Unified access, permissions, monitoring and security are just a few of the core functions aiWARE provided, while these services may seem mundane, they are mission critical to enterprise customers. Without these critical services provided to a single ubiquitous AI operating system that supports both cloud and on-premise deployment customers would be forced to distribute their data to countless point solutions, increasing their security and data privacy risk and adding significant complexity to their IT infrastructure. This quarter significant accomplishments are testimony not only to the power of aiWARE but also to our talented and dedicated staff of over 320 employees. Many of us at Veritone have had the opportunity to work at some of the most successful companies in the world like Amazon, IBM and Google, yet despite our diverse background and prior successes we universally believe we are building something of greater significance that will transcend the limits of software itself. Now, I’ll turn the call over to our CFO, Pete Collins, to walk us through our financial results and key performance indicators for the third quarter. Pete?
Pete Collins: Thank you, Chad, and good afternoon everybody. Our net revenues in the third quarter of 2018 increased 103% to $7.5 million from $3.7 million in the third quarter last year, reflecting both contributions from our acquisitions and organic growth. Our AI and Digital Content Solutions net revenues which includes revenues from our AI Solutions and Wazee Digital's core and digital media hub software platforms, totaled $1.4 million in the third quarter. This was comprised of $1.1 million of net revenues from our AI Solutions, an increase of 150% from $431,000 in the third quarter last year and approximately $300,000 of net revenues from Wazee Digital which we acquired on August 31st. Our media agency net revenues increased 44% to $4.7 million in Q3 this year from $3.3 million in Q3 last year. This increase was driven primarily by an increase in the number of active clients of our Veritone One business and the contribution of $434,000 of net revenues by Performance Bridge which we acquired on August 21st. Excluding Performance Bridges clients we had 78 active Media Agency clients in the third quarter of 2018 compared with 49 in the third quarter of 2017, an increase of 59%. Our Digital Media Services net revenues which was comprised of Wazee's content licensing and live event services following the acquisition was $1.4 million in the third quarter. We will have a full quarter of revenue from Wazee Digital and Performance Bridge in Q4, but it’s important to note that September has historically been one of Wazee's strongest revenue month of the year due to the seasonality of its services business and so we do not expect their Q4 results to reflect three months at that level. Looking closer at our AI operating system business, we grew our net revenue sequentially in each of our vertical market. The media and entertainment vertical delivered the majority of our AI operating systems net revenues in the quarter as we continue to build on the business development work we started in 2016 with our land and expand strategy, which deliver revenue growth from several customers particular iHeartMedia and Entercom. Our monthly recurring revenue or MRR under agreements in effect of the end of Q3 increased 41% to $191,000 from $135,000 in the third quarter last year. It’s important to note that MRR excludes some agreements we have with media customers that are variable revenue, as well as the project based revenues in our legal protocol, that’s why our MRR was up 41% while our total AI operating system revenue was up 150%.We see these dynamic continuing overtime. Our bookings in Q3 were $226,000 which is less than our Q2 bookings due primarily to the timing and closing some large deals. The timing and closing deals and the terms of those deals can cause significant quarter-to-quarter fluctuations in our bookings. In October we booked over $200,000 of recurring revenue. Gross profit increased 74% to $6.0 million or 79% of net revenue from $3.4 million or 92% of net revenues in the same period of 2017. The increase in gross profit in the third quarter of 2018 compared with the prior year period was due primarily to the operating leverage provided by the increase in net revenues from our aiWARE operating system and our recent acquisitions. The decrease in gross margin compared with the prior year period was due primarily to the higher proposition of net revenues from our AI and Digital Content Solutions and Digital Media Services which generally carrying lower gross margins than our media agency business. Now turning to our operating expenses, our total operating expenses in the third quarter of 2018 decreased 3% to $22.2 million from $22.9 million in the same period of 2017. The decrease in operating expenses was due primarily to lower stock-based compensation expense, which was higher in the 2017 period due to the accelerated vesting of certain performance-based stock options. This decrease was substantially offset by higher compensation and benefits costs resulting from headcount additions, transaction costs related to our recent acquisitions and the addition of the operating expenses of those acquired businesses. Our loss from operations was $16.3 million, a decrease of $3.2 million compared with a loss from operations of $19.5 million in the third quarter of 2017. Our net loss attributable to common stockholders totaled $15.9 million, or $0.86 per share, based on 18.6 million weighted average shares outstanding. Our net loss attributable to common stockholders in the third quarter of 2017 was $19.4 million, or $1.31 per share, based on 14.8 million weighted average shares outstanding. Now turning to our non-GAAP metric. Our third quarter earnings before interest expense, depreciation, amortization and stock-based compensation or EBITDAS adjusted to exclude certain acquisition and integration related costs was a loss of $8.6 million compared with a loss of $7.6 million in the third quarter of 2017 and a loss of $11.0 million in Q2 of 2018. The higher adjusted EBITDAS loss compared with the year ago period was due primarily to the addition of software development, data science, product management, and sales and marketing resources, which we expect will lead to enhancements in our aiWARE operating system and increased net revenues in the future, while our adjusted EBITDAS loss was higher on a year-over-year basis, it was lower than our Q2 loss due primarily to the increases in net revenues and gross profit. Now turning to our balance sheet, which remained strong. At the end of the quarter, we had cash, cash equivalents and marketable securities of $64.7 million and no long term debt. The cash and marketable securities balance includes cash received from clients for future payments of $14.1 million. Next, I’d like to shift gears to our key performance indicators or KPIs for both our AI Solutions business and our Media Agency business. Please not that these KPIs do not include any contributions from our recent acquisition. We are currently in the process of reviewing all of our current KPIs as we integrate our recent acquisitions, in order to ensure that they are best metrics with which to assess our operating performance. In the third quarter of 2018 we achieve the forecasted increased in two of our four KPIs. The number of cognitive engine on the platform increased by 38 to 252 versus a forecast of 234, and the amount of media adjusted and processed in the quarter exceeded 2.8 million hours compared with the forecast of 2.7 million hours. We did not achieve the forecasted increase in the number of customers which finished at 93 versus the forecasted 95, all the number of accounts which stood at 634 versus the forecast of 655. It could be difficult to predict exactly when deals will close; we saw that at the end of third quarter. Three deals closed in October which added the total of 95 accounts. For our Media Agency business we evaluate three key performance indicators. First, the number of new clients added under master service agreement. Second, the total number of active clients and third the average media spend per client. During Q3 this year we added 10 net new clients compared with nine net new clients in Q3 last year. In terms of active clients we had a total of 78 as of the end of Q3 of 2018 compared with 49 at the end of Q3, 2017 of 59% increase. During the third quarter of 2018 our average media spend per client was $540,000, a 70% decrease compared with $649,000 in the third quarter of last year, but a 27% increase compared with $425,000 in Q2 of this year. Many of the new active clients we have add in the past year spent less than our historical average media spend per client, which causes our average media spend per client to degree. This trend is not concerning to us because it is been more than offset by the increase in the number of active which also reduces our reliance on large clients. It’s important to keep in mind that while this business is mature and provide a solid foundation and strong positive cash flow for Veritone, it can also experience volatility in net revenues from quarter-to-quarter. And now for our business outlook. For Q4 2018, we expect to have net revenues between $9.3 million and $9.7 million. This net revenue range is based upon the signed agreements in place today. The expected net revenues from Digital Media Services based on recent and historical trends and the amount of ads we have placed Media Agency client. This range of net revenues does not include potential projects including e-discovery or Media and Entertainment archive processing that have not yet started as those are difficult to forecast accurately. For our AI operating system KPIs, at the end of Q4 we expect to have 89 customers which is a decrease from 93 at the end of Q3. The Q3 customer count included eight politic customers and with the end of mid-term election cycle we do not expected those customers will renew their contracts before the end of the year. For accounts, we expect to have 728, an increase of 94 accounts over the course of Q4, which include the three deals we closed in October offset in part by the impact of the politic customers. We expect to add 23 net new cognitive engines in Q4 and reach 275 at the end of the quarter. We expect to process 2.9 million total hours of video and audio content on aiWARE over the course of the fourth quarter. That completes my financial summary. We’re now ready to open the lines for questions. Operator?
Operator: Thank you. And we will not take questions from Veritone sales side analysts. [Operator Instructions] And our first question is from Mike Latimore with Northland Capital. Please go ahead.
Mike Latimore: Great. Thanks a lot. Congratulations on the quarter. That looks good.
Chad Steelberg: Thanks Mike.
Mike Latimore: So, I guess on the sort of core AI Solutions business in the quarter, what was the sequential driver there? Was that media customers expanding? Was that a little bit more legal cases, I guess, what drove some of the organic sequential growth there?
Chad Steelberg: So the driver there was Media and Entertainment category. And in my remarks I mentioned specifically two of our largest clients; iHeartMedia and Entercom. And I think we’ve covered this in the past, but just to kind of reiterate. These are customers that we started out with servicing a small market of theirs, five to eight stations and today we’re into the hundreds of stations, we’re serving for them and providing service too, so that just another testament to kind of that land-and-expand strategy that we started back in 2016 and seeing the fruition of that coming today.
Mike Latimore: Great. And then just in terms of the revenue segments, so these are three new revenue segments and we should assume those will be represented consistently going forward here?
Chad Steelberg: Yes. That’s the plan. As we step back and try to figure out what was the best way to communicate kind of the categories of revenue between the Media Agency and then with the addition of the live event services and the licensing business from Wazee, we felt that these three categories was a best way to do it.
Mike Latimore: Got it. And then you said your fourth quarter guidance and thanks for giving revenue guidance. Your fourth quarter guidance, you said, it does not include new e-discovery, is that what you said?
Chad Steelberg: Yes. What we said, it doesn’t include any projects that haven’t already been started. So we didn’t forecast anything coming in the last basically 45 days of the quarter and just frankly we don’t have enough visibility to be able to do that.
Mike Latimore: Okay. And then just last from me. What should we think about gross margin being with the new kind of revenue mix there?
Chad Steelberg: Yes. I think that the – what you’re going to see is the two AI businesses continuing to grow. They carry a lower gross margin rate in the agency business, so that will continue to reduce the gross margin rate, but obviously the gross profit dollars should be scaling nicely as revenue grows.
Mike Latimore: Okay. Thanks. Congratulations.
Chad Steelberg: Thanks, Mike.
Pete Collins: Thanks Mike.
Operator: Thank you. Our next question comes from Darren Aftahi with ROTH Capital. Please go ahead.
Darren Aftahi : Hey, guys. Thanks for taking my questions. Good afternoon. Just a couple of if I may. So when you guys acquired Wazee, you talked about I think, Chad, and particularly in your prepared remarks on the M&A call, just some of the bigger media clients, HBO, Viacom, Fremantle, won’t go through those. I’m just kind of curious with a few months under your belt where you stand in terms of kind of the upsell with AI. That’s kind of question one. Two, you talked about expansion into the government vertical with Wazee. I’m kind of curious where that stands? And then Pete if you indulge us, you didn’t have full operating cost quarter with the acquisitions. As we think about growth should we think about improvement in EBITDA sequentially and if you could maybe kind of categorize that, give us a sense would be helpful? Thank you.
Chad Steelberg: Sure. So the first integration that we completed with Wazee’s two product lines which really about getting some of the core AI cognitive functions integrated so that users of their application could surf its content faster, again, using facial recognition, speech, transcription etcetera. And the first client that we rolled it out to was actually the USTA with the live event and allowed their media partners to literally sift through thousands of hours of broadcast across multiple courts, literally in real time. So that happened within week of the acquisition closing. Since then we’ve done even further integration and just last week as I mentioned in the prepared remarks that we closed a fairly significant deal on a jointly integrated product. So we think this is going to continue to expand across their existing customer base in terms of cross sells. But also to your next question, it’s opening up opportunities in the law enforcement space as well. So Wazee had a contract last year just kind of a pilot for them working with the government agency. I think it bled into this year as well. Some of the things that we’re working on, on our new application like Redact and Identify, our core to Veritone and obviously interoperate with the other applications which include now Wazee etcetera. So I think that – it’s not about having again, it’s just a set of point solutions on a common framework. It’s becoming an interoperable suite of applications that these different industry partners can use as the need arise.
Pete Collins: And then Darren, let me pickup your third part of your question. So from an EBITDAS perspective we didn’t give any guidance for the fourth quarter as it relates to EBITDAS, but we have said in the past is that the performance of Wazee and Performance Bridge on a combined basis was just slightly positive from an EBITDAS perspective. So we would expect that to continue into the fourth quarter.
Darren Aftahi : Great. And just if I could sneak in one, last one. I know you kind of call out some political customers on AI business, but I’m curious was that impactful in your agency business? And should we think kind of a belt curve there too as well, just given midterm elections are over?
Chad Steelberg: I don’t think, because we don’t have those customers – or those type of advertisers as clients of our Media Agency, so it didn’t drive our business in Q3 from that side of the shop.
Darren Aftahi : Helpful. Thank you.
Chad Steelberg: All right.
Operator: Thank you. Our next question comes from Tom Diffely with D.A. Davidson. Please go ahead.
Tom Diffely: Yes. Good afternoon. Just curious first of all, what impact if any of the acquisitions had on your kind of core KPIs that you report every quarter?
Chad Steelberg: So, in a quarter term, the KPIs that we’ve reported excluded any impact from both Wazee and Performance Bridge. So it’s an apples-to-apples comparison in further Q3 KPIs to the prior quarters.
Tom Diffely: Okay. And is that true with the guidance going forward then or does that include them?
Chad Steelberg: We have excluded them from Q4 KPIs as well. So everything is on the same basis, if you think about of kind of just the prior aiWARE and Media Agency business that we have.
Tom Diffely: Okay. That’s great. Okay. And then we look at the new engines that were added quite a few during the quarter, any new categories there? Or anything you can say about what’s those engines were for? What category they were in?
Chad Steelberg: With the acquisition of machine box which we mentioned, we picked up I would say some derivative categories of cognition and some refinements, but during the quarter I don’t think there was any material changes to the categories. It was really about the ability to go from big large generalized engines down to more specific narrow-cast engines that conductor can leverage more effectively. That’s the result of which is obviously higher levels of accurate cognition.
Tom Diffely: Okay. That makes sense. And then finally, well, I guess first when you look at the AI dollars per hour, obviously that jumps around quite a bit. Is that simply kind of reflecting that how – what percentage of it is audio versus video. Is that the main driver there?
Chad Steelberg: That’s one of the drivers. I think volume is another one. So there three kinds of core metrics or four core metrics we track, obviously, what types of cognition and engines are being run? And then obviously whether its audio or video has a dramatic effect in terms of the number of engines you can apply to those different content sets. And then volume of media coming from discrete customers, some of our customers are processing hundreds of radio stations and TV stations 24 hours a day, while others are very spotty. So those rates also change.
Tom Diffely: Okay. And then finally, Pete, when you look at the added costs or expenses of the acquisitions what is that due to kind of the run rate of expenses going forward?
Pete Collins: So we really haven’t given guidance on OpEx like I was sharing with Darren, but there is a month of the two businesses; Wazee and Performance Bridge in the third quarter and so we’ll ramp that up to basically a run rate for the fourth quarter. We’ve made very few changes from a headcount perspective almost none. We brought over basically their full team and have been busying integrating them into our business adding their capabilities to serve our clients. So I wouldn’t expect a significant deviation from kind of the implied run rate coming out of the month in September.
Tom Diffely: Okay. That’s helpful. Thank you for your time.
Pete Collins: All right, Tom.
Operator: Thank you. Our next question is from Sameet Sinha with B. Riley FBR. Please go ahead.
Sameet Sinha: Yes. Thank you. Couple of questions. So, Pete, I guess, starting off with your revenue guidance. Can you help us with what’s the organic growth for the fourth quarter and how much from acquisitions? And second one Chad, probably for you. When you look at plans like iHeartMedia and Entercom when you how they were only in a handful of stations earlier, now in hundreds of stations. So that’s one vector for growth is as you grow into new stations how about revenue per market? Or as you mature within that base how much have seen revenue per station go up that kind of give us another vector of growth? Then I have a follow-up question. Thank you.
Chad Steelberg: So, Sameet on the organic versus inorganic growth rates, I mean we’re not breaking it down below, just the general guidance we gave of $9.3 million to $9.7 million in that revenue. We did mention that the month of September is a very good month for Wazee. And so while the combination of Wazee and Performance Bridge added 2.2 million into the third quarter that it’s not reasonable to take that amount and extrapolate that into the whole fourth quarter that same run rate. I think that’s the guidance, that’s the information that we provide to this point.
Pete Collins: Sameet, and with regards to the kind of land and expand strategy as it relates specifically to radio stations or even any of our customer basis, essentially on a market by market basis we’re seeing more and more stations within that market adopt the platform. But within on a specific stream, because audio has significant but obviously limitation in the back that it’s only audio. Little bit of background going on here.
Operator: From Sameet.
Pete Collins: Can you maybe mute your phone? Thank you. Perfect. Thanks. But with regards to other forms of media whether that in video coming from other broadcasters and the TV world or from public safety, the breadth of cognition that enables by running different engines not just the basic transcription is really starting to expand rapidly. So I think in radio we’re seeing the expansion coming less from more cognitive engines or more hours of media being processed on a single station, versus just having more stations being deployed on the platform. In other forms of media, again, in public safety as well as in media and entertainment with video assets we’re seeing that expansion rate increase both in terms of the applications that they’re using, the number of employees at those companies that are using those application and the types of engines that they’re running against that content.
Sameet Sinha: Got it. One final question for Pete. Pete, I don’t know if you ever given out the gross margin profile of this acquisitions?
Pete Collins: No. What we talked about was the revenue and then their impact on the EBITDAS level. So, revenue as I said we shared with that, I mean as I was sharing I think earlier with Darren, that the impact from a OpEx perspective is really more viewed at the EBITDAS level and they were slightly positive on a combined basis when we acquired them.
Sameet Sinha: Got it. Thank you.
Pete Collins: Okay.
Operator: Thank you. And at this time, ladies and gentlemen, this concludes our Q&A session. If your question wasn’t taken you may contact Veritone’s Investor Relations team and veri@liolios.com. I would now like to turn the call back over to Mr. Steelberg for his closing remarks.
Chad Steelberg: Thank you for joining us on the call today. We want to thank our employees, partners and investors for supporting us as we pursue our mission of building the AI operating system of the future. We look forward to updating you on our progress on our next call. Operator?
Operator: Thank you for joining us today for Veritone’s third quarter 2018 earnings call. You may now disconnect.